Operator: Welcome, everyone, to the Noble Corporation's third quarter 2017 earnings conference call. I would now like to turn the call over to Jeff Chastain, Vice President, Investor Relations.
Jeffrey L. Chastain - Noble Corp. Plc: Thank you, Sarah, and good morning to everyone. Welcome to the Noble Corporation third quarter earnings call review. And we appreciate your interest in the company. In case you missed it, a copy of Noble's earnings report issued last evening can be found on our website, and that's noblecorp.com. Before I turn the call over to David Williams, I'd like to remind everyone that we may make statements about our operations, opportunities, plans, operational or financial performance, the drilling business, or other matters that are not historical facts and are forward-looking statements that are subject to certain risks and uncertainties. Our filings with the U.S. Securities and Exchange Commission, which are posted on our website, discuss the risks and uncertainties in our business and industry and the various factors that could keep outcomes of any forward-looking statements from being realized, including the price of oil and gas, customer demand, operational and other risks. Our actual results could differ materially from these forward-looking statements, and Noble does not assume any obligation to update these statements. Also note, we are referencing non-GAAP financial measures in today's call. You will find the required supplemental disclosure for these measures, including the most directly comparable GAAP measure and an associated reconciliation, on our website. And finally, consistent with our quarterly disclosure practices, once our call has concluded, we will post on our website a summary of the financial guidance covered on today's call, which will cover fourth quarter and full-year 2017 figures. With that, I'll now turn the call over to David Williams, Chairman, President and Chief Executive of Noble.
David W. Williams - Noble Corp. Plc: Okay, thank you, Jeff, and good morning to everyone. Your interest and support of Noble is greatly appreciated. It's been a challenging year for everyone in the industry, but our company is navigating the downturn by focusing on strong operational execution and by following a sound financial strategy, which together continue to help us build a position of strength as the industry transitions to the recovery phase of this cycle. I hope our third quarter results and our comments about other important developments in the company will help to highlight these strengths. But first, I want to introduce the members of the Noble management team who are joining me on today's call. In addition to Jeff, I'm joined Adam Peakes, our Senior Vice President and Chief Financial Officer. Adam will provide a detailed rundown of the third quarter and some guidance for the final quarter of 2017. Also with me today is Robert Eifler, our Vice President and General Manager of Marketing and Contracts. Robert will cover some market developments and emerging opportunities in the offshore industry. And following Robert's discussion, I'll close with some final comments, and then each of us will be available to take your questions. Our third quarter results reflected the high standards you have come to expect from us, as our operations team continued to deliver the same level of impressive performance that they have turned in throughout this year. Our operating performance continued at a very high level. Operating costs were in line, and capital expenditures remained on target to meet our expectations for this year. These outcomes helped us to continue to generate positive free cash flow and once again left us with us strong liquidity. Our consistent operating performance is a product of high-quality and well-maintained equipment along with a skilled and dedicated workforce, and both are vital factors in achieving this level of operational consistency. I'm extremely proud of our operations team and what they've been able to achieve throughout this challenging environment. Another important aspect seen in the third quarter was our continued success in securing incremental contract awards for certain rigs in our floating and jackup fleets, which has allowed us to achieve the important goal of extending our contract coverage in 2017 and 2018 and even beyond. Our contract backlog at September 30 totaled $3.2 billion, which included about $815 million of new contracts and extensions through the first nine months of this year. The backlog total represents a less than 3% decline when compared to the total backlog of $3.3 billion at the close of 2016, a noteworthy achievement considering the highly competitive nature of the offshore environment. For the third quarter of 2017 alone, we secured contracts and extensions exceeding $210 million. This figure included the previously reported three-year primary term contract for the Noble Bob Douglas for work offshore Guyana, with an expected commencement date in the first half of 2018. The Noble Bob Douglas, which has remained active throughout 2017, is one of the industry's highest specification ultra deepwater drillships, and it's just one of the units for which Noble can deliver highly efficient, safe, and technically advanced drilling solutions to our customers around the world. Since the close of the third quarter, we've secured additional contract awards, which are not included in the backlog measure as of September 30. These include a one-well estimated 80-day program for the Noble Bob Douglas in the U.S. Gulf of Mexico, with an expected contract commencement by late November of this year. This latest contract award for the Noble Bob Douglas will be completed prior to the ExxonMobil work in Guyana and, coupled with that work, will keep that rig under contract into the first half of 2021. In our jackup fleet, the Noble Houston Colbert was awarded a three-well estimated one-year drilling program offshore Qatar, with an expected commencement in the first quarter of 2018. Throughout this year, Noble has won more than our fair share of contract awards. Furthermore, we believe a number of our rigs are well positioned to secure additional awards in the near to intermediate term. We believe this is a noteworthy achievement, especially at a time when maximizing fleet utilization and expanding contract coverage is paramount. We also believe that as the industry's recovery continues and rig reactivation opportunities occur, our practice of warm-stacking premium rig capacity during idle periods will prove to be a critical advantage. This is because, in addition to the marketing advantages, we can reduce the time and costs incurred during the reactivation process when compared to rigs that have been cold-stacked while at the same time deliver a smooth rig startup for our customer. Recently, the Noble Tom Prosser completed a drilling campaign offshore Australia following a warm-stack period of almost a year. As evidence of our successful reactivation plan, the rig experienced equipment downtime of less 2% over the entire campaign. And of equal importance, we concluded the assignment with a very satisfied customer. I'll now turn the call over to Adam for some additional details on our performance in the third quarter and an update on guidance.
Adam C. Peakes - Noble Corp. Plc: Thank you, David, and good morning to all. Our third quarter results are another example of the importance of excellent contract coverage and strong operational execution. Our third quarter fleet downtime and operating costs when adjusted for a special charge that will be clarified in a moment fell within the provided range of guidance. We continued to generate cash from operations. And that coupled with our modest CapEx spend allowed us to add to our cash balance during the quarter. Our overall liquidity position remains strong, with $609 million of cash on the balance sheet and an undrawn revolver. As was covered in our press release circulated last night, Noble reported a net loss attributable to the company for the third quarter of $97 million or $0.40 per diluted share, with revenues totaling $266 million. Note that reported results included a pre-tax charge of $14 million or $0.04 per diluted share resulting from minor damage sustained by two of our semisubmersibles, the Noble Danny Adkins and Noble Jim Day, during Hurricane Harvey. Both rigs have been cold-stacked since the first half of 2016. Excluding this $14 million charge, which was recognized in contract drilling services costs, the net loss attributable to Noble would have been $87 million or $0.36 per diluted share. For your convenience, a non-GAAP supporting schedule was included with our press release and can be found on the website at www.noblecorp.com. The schedule provides a reconciliation of net income or loss attributable to Noble Corporation, income tax, and diluted earnings per share for the third quarter of 2017, with comparisons to the second quarter of 2017 and the third quarter of 2016. With my review of the third quarter, I'll provide some comments on the primary drivers behind contract drilling revenues and costs as well as a brief comment on SG&A expenses, which was the only P&L item that fell outside the range of guidance provided during our last call. Also, I'll address our third quarter capital expenditures and liquidity before a review of fourth quarter and full-year 2017 guidance. Contract drilling services revenues in the third quarter totaled $260 million compared to $272 million in the second quarter. Recall that second quarter revenues included a $6 million write-off of a derivative instrument relating to contingent customer payments. Excluding this write-off, second quarter revenues would have been $278 million, with the 6% quarter-over-quarter reduction driven largely by a decline in operating days in the jackup rig fleet following the conclusion of contracts during the quarter on the Noble Regina Allen, Noble Houston Colbert, and Noble Mick O'Brien. Also, third quarter revenues experienced daily adjustments, especially in the floating rig fleet, and a decline in bonus revenues. The revenue decline in the third quarter was partially offset by an increase in mobilization revenues, due primarily to the relocation of the drillship Noble Globetrotter II and jackup Noble Tom Prosser ahead of the commencement of contracts in the Black Sea and offshore Australia respectively, and one additional calendar day in the quarter. Jackup fleet utilization, which averaged 93% during the first half of 2017, declined to 81% in the third quarter following the completion of the contracts on the three rigs. David has already noted that one of these jackups, the Noble Houston Colbert, was recently awarded a three-well estimated one-year contract for work offshore Qatar, which is expected to commence in early 2018. Robert will address other opportunities for the jackup and floating rig fleets in a moment. Contract drilling services costs totaled $165 million in the third quarter compared to $162 million in the previous quarter. As I noted earlier, third quarter contract drilling services costs included the $14 million charge related to the rigs damaged during Hurricane Harvey, while second quarter costs also included a $14 million charge, with this charge related to the write-off of a PEMEX receivable. Excluding these charges, contract drilling services costs in the third quarter would have been $151 million compared to $148 million in the preceding quarter. The 2% increase in costs was due primarily to commencement of operations on the Noble Tom Prosser offshore Australia and higher mobilization expenses. These were partially offset by a decline in idle rig costs, driven predominantly by the completion in the second quarter of rig preservation efforts associated with cold-stacking of the drillship Noble Bully I. EBITDA totaled $96 million in the third quarter, resulting in total EBITDA for the first nine months of 2017 of $385 million. Both figures are adjusted for the one-time charges to contract drilling services costs I previously mentioned. SG&A expense in the third quarter was $15 million compared to the previous guidance of $17 million, with the 12% favorable variance due to lower than expected third-party professional fees. Capital expenditures in the third quarter of $25 million were in line with our guidance, bringing total spending through the first nine months of the year to $74 million. Finally, total liquidity at September 30 of $3.1 billion continues to provide a solid financial cushion, as we successfully managed through this tough business cycle. Our cash position ended the quarter at $609 million, up modestly from the second quarter, while our revolving credit facility with total capacity of $2.445 billion remained undrawn. I'll now walk you through our guidance for the full year and fourth quarter of 2017, beginning with fleet downtime. Since we continued to experience strong fleet performance with actual downtime of only 3.1% through the first nine months of 2017, we are maintaining our full-year fleet downtime guidance at 3.5%. Fourth quarter guidance will be held at 4%, due in part to 12 out-of-service days experienced in October on the drillship Noble Globetrotter I for maintenance and repairs. Our guidance for full-year contract drilling services costs, inclusive of the previously noted charges of $14 million in each of the second and third quarters, is $635 million to $645 million, or $605 million to $615 million excluding these charges. The adjusted range is essentially unchanged from our August guidance of $600 million to $620 million. Costs associated with client reimbursables remain unchanged for the year at $15 million to $20 million, resulting in expected total operating costs of $650 million to $665 million, inclusive of the $28 million in noted charges, or $620 million to $635 million excluding the charges. Contract drilling services costs in the fourth quarter are expected to range from $148 million to $158 million, driven in part by an increase in operating days for the drillships Noble Globetrotter II and Noble Bob Douglas, partially offset by a decline in the number of operating days for our jackup fleet, including fewer days for the Noble Houston Colbert, Noble Mick O'Brien, and Noble Hans Deul. These three jackups are expected to be kept in warm-stacked status, with operating costs estimated to be $10,000 to $15,000 a day given the existence of near to intermediate-term prospects. Costs associated with client reimbursables are expected to be in the range of $2 million to $4 million in the fourth quarter. DD&A expense in 2017 is expected to range from $545 million to $550 million, with the fourth quarter range set at $135 million to $140 million. SG&A expenses in 2017 should range from $65 million to $68 million, a modest decline from the previous range, reflecting the favorable third quarter variance. Fourth quarter SG&A expenses are expected to total approximately $15 million to $18 million. We are maintaining our full-year guidance range for interest expense at $290 million to $293 million, with the range for the fourth quarter set at $72 million to $75 million. Note that the recent ratings downgrade by S&P will result in a 25-basis-point step-up in coupon for our 2025 and 2045 senior notes outstanding, but this added cost will not be effective until April 2018. As a result of this credit downgrade, we have reached the maximum rate for these two tranches of senior notes. Non-controlling interest expense on our P&L representing the Bully I and Bully II 50:50 joint ventures with Shell is expected to range from $8 million to $12 million of expense to Noble in 2017, with the line item expected to reflect income to Noble of approximately $2 million for the fourth quarter. Both of the joint venture rigs are currently idle. The Noble Bully II is collecting a day rate of $200,000 a day over an idle period of up to 365 days as part of the amended contract agreement with Shell. Our capital expenditure expectations in 2017 are unchanged at $105 million, with approximately $67 million of the total devoted to sustaining capital requirements. An estimated $30 million of spending is expected for the fourth quarter. And finally, we expect to recognize a fourth quarter tax benefit to Noble of 20%, following benefits to the company of 21% and 16% in the third and second quarters of 2017 respectively. Exclusive of the $260 million non-cash discrete tax item presented in our first quarter 2017 results, the expected effective tax outcome for the full-year 2017 remains a benefit of approximately 20%. With three quarters of the year complete, we have many reasons to be proud of our performance thus far in 2017. In spite of a historically challenging industry recession, we have maintained solid and consistent operational performance and implemented new processes which are intended to enhance future operational efficiencies. Also, we have successfully secured several contract awards, which have led to a stable backlog picture and expanding revenue cover in 2018 and 2019. Finally, an internal restructuring has better aligned our tax strategy with the cyclicality of our business while disciplined cost management and capital allocation has supported positive cash flow generation and provided a fortified liquidity position. Our focus for the balance of 2017 and 2018 is to continue to build on these and other core features of our operational and financial structure. That concludes my remarks, and now I will turn the call over to Robert for thoughts on the offshore drilling market.
Robert W. Eifler - Noble Corp. Plc: Thank you, Adam, and good morning to everyone on the call. I'll begin this morning with some general observations on the offshore market, followed by a more detailed review of the opportunity set for those rigs in our fleet with current or near-term availability. As we near the completion of 2017, we continue to believe that increased customer spending and effective rig attrition are the two most likely and impactful catalysts for cycle recovery, and we are tracking both with great interest. An improvement in offshore spending is crucial for any meaningful market recovery. Although notable progress in this regard is yet to be realized, there are several recent developments that give reason for guarded positivity. Even before Brent crude improved to over $60 per barrel, we saw an increase in the number of final investment decisions, as our customers' success with reducing offshore project costs drives better economics. Also, as we have demonstrated, contract awards for both jackups and floating rigs are on the rise. Representing more long-term positive implications, there are a growing number of offshore regions that have the potential to attract significant investment from customers, both large and small. For example, we are excited about the expected growth in Guyana and Suriname, driven by exceptional geologic success and the onset of more favorable deal terms and accelerated licensing schedules in both Brazil and Mexico. Customer spending will return offshore, and we are hopeful that we are seeing the early signs. I want to address attrition in the floating and jackup sectors in more detail. Attrition in the floating rig segment has been robust through the down cycle, and the positive trend continued into the third quarter, with 16 rig retirements announced. In fact, in recent years, 92 floating rigs have been identified for retirement from a high of 331 units. Furthermore, 23 of the currently cold-stacked rigs have been in service for more than 25 years. The prolonged downturn will have an impact on contractors' ability to reactivate these rigs, as we believe many have prohibitively high capital requirements. And the story is generally favorable to long-term supply and demand balance. While attrition in the jackup segment is governed by a different set of economics than floaters, 33 jackups have been identified for scrapping since the first quarter of 2015. And we believe scrapping of older, less capable rigs that have not been well maintained is very likely. I now want to provide some perspective on offshore regions and where we see potential for improvement. Beginning with the Western Hemisphere, some industry analysts are forecasting demand to increase for both drillships and semis in the U.S. Gulf of Mexico. Although we have observed a slight decrease in new fixtures compared to the previous quarter, we agree with these assessments based on the level of operator interest we are seeing. Demand in the region is still driven primarily by development and workover, but we are encouraged to see some exploration work in 2018 as well. In Mexico, international operator involvement continues to increase through an escalation of awarded properties in each bid round as well as through farm-outs. As a result, we expect an increase in tendering activity over the next 12 months. In South America, Brazil continues to be important to full recovery of the market. And while it may not be in recovery mode yet, certain developments indicate a positive trend. The Petrobras asset sale strategy has allowed foreign oil and gas companies to operate substantial fields. And ANP's aggressive leasing activity coupled with changes to Brazilian regulations have already yielded positive developments, both in pre and post-salt potential, for foreign oil and gas companies as well as Petrobras. Combining all this with improved local content rules makes us hopeful that the country is headed towards increased activity. Additionally, as we have reported previously, the north coast of South America is showing a sustained increase in activity, and another discovery was announced this quarter in Guyana. Additional exploration and seismic activity in nearby countries is encouraging as well. Moving on to the Eastern Hemisphere, while both the North Sea and West Africa markets remain relatively muted, there has been a slight increase in operator interest within the regions, and we are encouraged by the conversations we are having with our customers about potential programs in 2018. Although near-term demand still falls short of supply, the uptick in interest does provide further support to our expectations of improving utilization in the next 12 months. However, term programs are limited, and we expect demand to be driven by short-term work, with a preference towards hot units. In the Middle East, little has changed since my update last quarter. We continue to track several incremental opportunities in the region, specifically in Saudi Arabia, Qatar, and the UAE. While this market has been more resilient than others through the downturn, an inflow of idle rigs on speculation has furthered an already competitive landscape. Even so, the growing appetite in the region for higher-performing assets such as ours will drive fleet modernization going forward. Finally, in the Asia-Pacific region, Australia is showing an encouraging level of deepwater semi demand for work in 2018 and 2019, some of which is long term. In Southeast Asia, the high level of activity continues with a promising number of outstanding requirements. However, heavy oversupply remains, driven by the proximity of newbuild assets and low stacking costs, and economics for jackups will remain competitive. Before passing the call to David, I want to briefly cover the status of our fleet and provide an outlook for Noble's rigs that are currently stacked or coming off contract in the near term. The stacking status of our uncontracted floating fleet hasn't changed, and we are comfortable with the mixture of cold and warm-stacking. Five of our floaters remain cold-stacked. Three floating units, drillships Noble Tom Madden and Noble Sam Croft in the U.S. Gulf of Mexico and semi Noble Clyde Boudreaux in Asia, remain warm-stacked and actively marketed. With the recent announcement of the contract in Guyana for the Noble Bob Douglas, which is a sister rig to the Noble Tom Madden and Noble Sam Croft, we feel the industry has acknowledged the capabilities of our seventh-generation drillships, and our conversations with customers around the two warm-stacked ships have increased. We also continue to chase work for the Noble Clyde Boudreaux in the Far East and Oceania, where floater demand is gradually improving. On the jackup side, we have a number of rigs idle or soon to be coming off contract. For the high-specification units Noble Mick O'Brien, Noble Tom Prosser, Noble Hans Deul, and Noble Sam Hartley, we have line of sight on several opportunities and expect to add backlog in the near term. However, managing gaps will be a reality until the market recovers more fully. The standard specification units, Noble Alan Hay and Noble David Tinsley, will become available at the end of this year, and we will evaluate the economics on those rigs should work not present itself in the near term. In closing, we are encouraged by the near-term indications of market improvement, including the continuation of a steady to higher pace in tender and bid activity and increasing contract awards, and we believe all of this will support higher future fleet utilization. From a longer-term perspective, offshore access to key emerging and established regions is improving for our customers, as more bid and licensing rounds are planned and executed, and the number of project sanctions continues to impress. Because of our high-specification fleet and world-class workforce and culture, we believe Noble is strongly positioned to benefit from these trends that clearly establish an early basis for industry recovery. Our global reputation and brand has been fortified by the excellent performance across our fleet, as evidenced by the strong operations results of our JU-3000N jackups in the Middle East and Asia and in our floating fleet by rigs such as the Noble Bob Douglas in Suriname and the U.S. Gulf of Mexico. By combining our understanding of customer needs with the numerous premium rig solutions we offer clients, Noble has already been successful at securing contract awards across both established and emerging offshore regions this year. Our efforts have driven improved revenue visibility into 2021 and have broadened our customer base. We look forward to reporting more good news in the future. That concludes my comments, and I'll now turn the call back over to David.
David W. Williams - Noble Corp. Plc: All right, thank you, Robert. You should conclude from both Adam's and Robert's comments that we're confident of our current financial and competitive posture in the offshore industry. Although the challenging business environment that has existed since 2015 is likely to persist for a while longer, we believe we've placed the company on a course to be well-positioned for the expected recovery. We believe the offshore industry continues to demonstrate that the early stages of recovery are underway. Crude oil market fundamentals, although in a constant state of flux, are currently indicating a more stable and encouraging price environment that is supportive to our customers' growing list of offshore projects. Also, our discussions with customers regarding future rig needs have continued at a healthy pace, and are expected to lead to additional contract awards over the near to intermediate term while providing further support for utilization in both the jackup and floating rig fleets. In addition, fleet attrition is real. It is reducing the active supply of rigs. And over time, we believe it should be as meaningful as at any time in the history of our business. Since mid-2014 and as Robert has already covered, we've witnessed the elimination of almost 30% of the industry's floating rig capacity according to data from HIS, with further rig retirements across the offshore fleet a virtual certainty. It is clear to us that the industry's capacity and balance is being addressed in a meaningful way and that a growing number of rigs, especially in the floating sector, will be marginalized by several factors, including efficiency limitations, high reactivation and maintenance costs, cash constrained owners, and limited client appeal. As we sharpen our focus on 2018 and 2019, we expect the early signs of recovery to translate into measurable benefits to our company. Contract awards to date and other probable awards are expected to continue to increase the number of operating days across our fleet in 2018, further expanding our excellent contract coverage, as we've said. In fact, our current contract backlog at the end of the third quarter of $3.2 billion provides an estimated base revenue for 2018 of approximately $860 million and more than $700 million already in place for 2019. Both measures are before the addition of the contract awards that we received since the conclusion of the third quarter and those that we expect to receive in the weeks and months ahead. Capital expenditures in 2018 will continue to be fully evaluated and will be closely tied to new and expected contract awards for rigs in the fleet, including possible rig reactivations. With that, we'll thank you for your participation this morning. And I'll turn the call over to Jeff, and we'll be ready to take your calls – questions.
Jeffrey L. Chastain - Noble Corp. Plc: Great. Thanks, David. Sarah, I think we can go ahead and begin pulling together the queue for the question-and-answer segment. And as you do that, since we've allowed a little more than 30 minutes, I'd still like to remind everybody to limit their questioning to one and a follow-up, if you'd allow us, to get as many in, in this last 30 minutes as possible. So, Sarah, go ahead with the first question, please.
Operator: Thank you. Your first question comes from the line of Sean Meakim from JPMorgan. Your line is open.
Sean C. Meakim - JPMorgan Securities LLC: Thanks. Hey, good morning.
David W. Williams - Noble Corp. Plc: Good morning.
Sean C. Meakim - JPMorgan Securities LLC: So, David, let we start with the Bob Douglas. I was just curious if you can give us a little more color on positive cash flow you're expecting maybe to generate from that contract, anything you can give us there. And then just thinking about that type of rig, I was thinking of the Sam Croft and the Tom Madden as you're looking at tendering opportunities for those. What kind of duration are you looking for in terms of terms? How are you thinking about what the opportunities that can look like for those rigs, and a little more color in addition to what we heard just now?
David W. Williams - Noble Corp. Plc: I'm not sure how much color we can give you on the Bob Douglas contract, but we haven't disclosed the rate. But I would say that we're very happy with rate. The rate will generate good cash flow throughout the term of the contract. As we look at that opportunity, we are delighted to have the opportunity to go back to work for Exxon. The couple of last major contracts they've let, we've been able to get. We're pleased to be back working for them. Exxon is a great operator. They're a more traditional operator, so it's very much a traditional operator-contractor relationship. But the rate will generate good free cash flow for us. I would say that really what got us that job was a rig visit. We know there were a lot of rigs that were bid. We know that they visited a number of rigs, and from what I've heard, the rig showed very well. They were delighted with the crew. So we're absolutely delighted to have that opportunity. As it relates to the other rigs, I would say that both the Madden and Croft, which are sisters of the Bob Douglas, are again very high-spec rigs. We have opportunities I would say for both, a number of opportunities around the world that we will be pursuing. We can't drive what kind of opportunities or work we're looking for specifically. We can only respond to those inquiries that the operators might have and effect those however we can. But really, it's the operators that drive the term. We can bid whatever the operator wants. We've got the three-year contract here. We got the two Globetrotters and the Bully that both have more than five years on them left, so we've got good contract coverage going forward. So I would say, marginally speaking, most of the opportunities we're looking at on the Madden and Croft are shorter-term, which is good. We don't want to book them all at three years with this market, but we're managing a portfolio of rigs. So anywhere from a couple wells to up to a couple of years, we're looking at all of that, and I would say that we're well-positioned for opportunities with those rigs.
Sean C. Meakim - JPMorgan Securities LLC: Got it. So with the Bob Douglas, the Bully, and the Globe, you're looking at a portfolio and say we have a little more flexibility to try to generate more near-term cash opportunities for the Croft and the Madden. And then for the Bob Douglas, I guess just to clarify, so would you say it generates positive free cash at the rig level? Would it do so including shore-based allocation, still generating positive free cash when you add in some of those costs as well?
David W. Williams - Noble Corp. Plc: Look, I'm not going to get – we haven't disclosed the rate, and I'm sure that's what you're trying to get to. I would say that on the margin, we have brought down costs of our operating rigs more than you guys think we have. And so I would say that we are absolutely delighted with the prospect of working this rig for three years for a very traditional operator, a very traditional relationship, where we provide what a drilling contractor normally provides and they do what the operator normally does. And so they're a great operator. And we think that this contract is going to throw off a good bit of cash.
Sean C. Meakim - JPMorgan Securities LLC: Got it, okay. Thanks for the color, David. I appreciate it.
David W. Williams - Noble Corp. Plc: You bet, thank you.
Operator: Your next question comes from the line of Haithum Nokta from Clarksons Platou Securities. Your line is open.
Haithum Nokta - Clarksons Platou Securities, Inc.: Hi, good morning.
David W. Williams - Noble Corp. Plc: Good morning.
Haithum Nokta - Clarksons Platou Securities, Inc.: I guess as you said, you have a decent amount of contract coverage heading into 2018, and you feel pretty good about the opportunities for the jackup side. And then the floaters, we'll just have to see, but they're well-positioned. Are you able to give some directional guidance on or initial expectation on 2018 costs, either on the OpEx line but also curious about expectations for maintenance CapEx?
David W. Williams - Noble Corp. Plc: Well, maintenance CapEx – so on both fronts, let me just give you -for the last few quarters, I think we've been very close. We've been well in the guidance of what we've talked about after adjustments on our operating costs, contract drilling services costs. So I would say that where we're operating the company, we're within guidance for the quarter handily. So I would say that our operating costs going forward are going to be – this is a good proxy for our costs going forward based on how many operating days you think we'll have in the fleet. We only have one floater in the fleet that rolls off contract this year, and we're highly confident – highly confident that we're going to get continuing work for that rig. And so we've got a good base of floater revenues going forward. If you look at our fleet, we've got eight or nine rigs that throw off about $2 million a day or more of contracts for the next couple years. And so we've got not only a good base of revenue this year, we've got a good base of revenue next year and frankly a good base of revenue the following year. So we've demonstrated that we can put rigs to work. We don't have a lot of exposure on the floaters going forward in contract roll-offs. We think we'll keep the jackups working. So our operating cost, I think this year is a good proxy for rig cost going forward. It's just going to be a function of how your model – how many rig days you've got us working. And on the maintenance CapEx, I think we're running the fleet fairly efficiently right now. So from a maintenance perspective, I think what we've guided to for maintenance CapEx this year, I think that's a good proxy going forward. The difference is going to be project capital. Next year, we'll have a couple of COCs on rigs that have BOPs, and we'll have to recertify those. We've got the rest of the MPD program that we've got to deliver. And then if we have rig reactivations, that will be on top of it. But just on a base level, I think we started this year, guidance to $115 million. We've brought that down throughout the year because we've underspent it. That's not a bad starting point for next year. and then add a couple of projects to it, and plus or minus, I think that's where you should be.
Haithum Nokta - Clarksons Platou Securities, Inc.: That's helpful, thanks.
David W. Williams - Noble Corp. Plc: You bet.
Haithum Nokta - Clarksons Platou Securities, Inc.: And then, picking up on your comments around the last question, around your work with Exxon, it's definitely been noteworthy that you've added this major client in the last two major contracts this year. As you pointed out, they're a traditional customer. Is aligning with them something you did by design, or can you just extend a little bit about getting closer to them and/or how you might be able to leverage that relationship going forward?
David W. Williams - Noble Corp. Plc: Noble has had a long and proud and great association with Exxon and Mobil going back. We operated the Hibernia field from its inception until about three years ago. We've worked for them extensively going back in Nigeria and other parts of the world. So we have a great relationship with them, always have. They oftentimes don't operate as much as other operators do. They sometimes – they have a non-operator posture in many cases. But when they operate, we have a great relationship with them. And so I would say yes, it's by design, and we've maintained a close relationship with them forever really. We were closely aligned on what they wanted. If you look at the Regina Allen program offshore eastern Canada, they needed a high-spec, highly capable rig, harsh-environment rig to be able to do that. The Regina Allen is perfect along with some of our other assets, but that rig was perfect. They got ready to go to Guyana, and we along with everybody else, pursued that. It was a very competitive process. I doubt seriously we were the low bidder, I don't know. But again, I would go to – what I've heard from them, it was the rig visit that got us that job. These rigs, our crews are very engaged. This rig has got a great track record. And so every job we get I would like to say is by design. But Exxon is a great operator and we've got a great history with them.
Haithum Nokta - Clarksons Platou Securities, Inc.: Cool, very interesting. I'll turn it back, thanks.
David W. Williams - Noble Corp. Plc: Thank you.
Operator: Your next question comes from the line of Ian Macpherson from Simmons. Your line is open.
Ian Macpherson - Simmons & Company International: Hey, good morning. Thanks.
David W. Williams - Noble Corp. Plc: Good morning, Ian.
Ian Macpherson - Simmons & Company International: How serious were the damages for the Jim Day and the Danny Adkins? And if you could, elaborate on the $14 million of charges there. And is there any – since those are what we consider to be top-of-the-heap cold-stacked rigs that you want to keep...
David W. Williams - Noble Corp. Plc: I appreciate that.
Ian Macpherson - Simmons & Company International: Do you need to spend more capital to keep them in a ready state for the next couple years?
David W. Williams - Noble Corp. Plc: We agree they're top-of-the-heap cold-stacked rigs, and we certainly plan to put them back to work when the market provides that opportunity. It's – $14 million is an estimate. We haven't repaired the damage. We've done a survey of the rigs. They were hit by another vessel or another couple vessels that were in the area. So we have insurance, but this claim falls below our coverage. So on a per-rig basis, it's actually not that much. We would expect to be able to make those repairs when we start the rigs up. We probably won't make any repairs – we haven't spent the money, but probably won't make the repairs until we start them up and it will have zero impact to our startup time. It's just work that we'll do in the normal course of business. So we may have a claim against other third parties. It won't meet the threshold for our insurance. But for accounting purposes, we were compelled to go ahead and report the number and take the charge. We'll spend the money when the time comes. It's not evenly split between the two rigs. So one rig has got a little bit more than the other, but it's not life-altering. It's not a big deal to us. We just frankly had to report it to you.
Ian Macpherson - Simmons & Company International: Understood, thanks, and a separate unrelated question, just on the competitive framework for the jackup market. Borr Drilling, that's a management that you know well. How do you assess not just their credibility as a new entrant, but the landscape for jackups given some of these stranded rigs in Asia are trying, in some cases successfully, in other cases less successfully, to come into the marketed fleet? Can you update us on your thoughts on how that's unfolding?
David W. Williams - Noble Corp. Plc: I don't want to get into – they're smart guys. We certainly know Simon [Johnson] well and think a lot of him, and they're smart guys. In the jackup space, we positioned ourselves in a special spot. We have a very high-specification fleet. We've got 14 rigs, four or which are older standard specification rigs that Robert has already addressed. A couple of them have forward contract coverage, a couple of them don't. They are probably not core to the fleet going forward. The remaining 10 rigs are some of the most high-spec rigs in the world, so we can compete with anybody. You bring another guy to the market, that doesn't bother us at all. So we're competing with a lot of those rigs that they've picked up already. We've been competing with them. I would say most of the rigs, if not all the rigs – there are only a couple rigs in China that really are spec in our space. And so it doesn't worry us at all, we can compete. We've got very high-spec rigs. We can compete from the top of our capability all the way to the bottom. So if there's work out there, I think we're going to get more than our fair share. From a multi-service perspective, they're pushing this narrative. And yes, that's always interesting when the market is like this. We certainly have that capability. We have run everything from full turnkey projects to full project-managed projects. We have explored a larger suite of services with a number of customers, and in some cases, are providing a wider suite of services with our customers. So we can provide the full gamut, the range of – whatever they're doing, I think we can also do. But I think from a specification standpoint, we're probably in a little bit different place. And so it doesn't – there are always people out there who are trying to catch you when you're in a place like we are, and we welcome the competition. It doesn't bother us in the least. We look forward to it.
Robert W. Eifler - Noble Corp. Plc: And I'd add. This is Robert. I'd add just quickly that the jackups have also built a pretty impressive resume of HPHT [High Pressure High Temperature] work in the past, and customers are looking really hard at past work history and also the crews. And I think we have a really good story to tell both on our work history there and the people on the rigs.
Ian Macpherson - Simmons & Company International: Yes, that's good. Thank you.
David W. Williams - Noble Corp. Plc: You bet.
Operator: Your next question comes from the line of Gregory Lewis from Credit Suisse. Your line is open.
Gregory Lewis - Credit Suisse Securities (USA) LLC: Hey, thanks and good morning, everybody.
David W. Williams - Noble Corp. Plc: Good morning, Greg.
Gregory Lewis - Credit Suisse Securities (USA) LLC: Hey. I have a question for Adam. Adam, could you talk a little bit about – and realizing it's only November, could you talk a little bit about how we should be thinking about OpEx in 2018, any guidance you could give us around that for full year?
Adam C. Peakes - Noble Corp. Plc: Excuse me. I apologize for my voice. I'm getting over a cold. On the OpEx, I think just building on what David said, it really depends on operating days and fleet mix. So depending on what the mix looks like and to the extent we're putting different rigs to work next year, you could have some fluctuations up or down. But I think as a starting point, the OpEx we had this year is a good starting point. And again, if you think about where we sit, you'd probably wait next year. Right this very minute you might suggest that there would be some fewer jackup days and similar floater days, but generally speaking, I would start at the 2017 levels as your starting point.
Gregory Lewis - Credit Suisse Securities (USA) LLC: Okay, great. And then I think it's been touched on, and I think, David, you were just touching on it. As we think about the evolution of contracting rigs right now, and I think there's been some comments from some of your competitors talking about what they're willing to do in terms of accepting terms of contracts to win work. What types of changes have there been? Has it been about taking on more logistics? Has it been taking on other types of risk? I'm just trying to get a handle for what Noble is comfortable with as they go out looking – as you guys go out looking to win incremental awards, whether they be short term or long term.
David W. Williams - Noble Corp. Plc: I would say, Greg, that logistics is more of a shared services type of contract. Operators like to push on everything from time to time. We have a well-established track record of what we're willing to take from a contracting standpoint. I look around the table here, there's probably several hundred years of experience sitting here in the drilling business, including our General Counsel, who's probably – I don't know and I haven't done the math, probably the longest serving general counsel in the industry. We're not going to put the company on the line for a drilling job. We look at what the opportunities are. The pendulum swings when the market is in our favor, and it swings back when it's in the operator's favor. So all of these things we look at as a commercial risk. And so we look at commercial risk. We look at our ability to manage those risks and mitigate those risks, and we're either comfortable or we're not. So our philosophy about it really hasn't changed. We have some contracting principles that we're not willing to – lines that we're not willing to cross, and those lines don't change or become blurred when the market is one way or the other. So we look at it. We quantify what the risk is, and we either get comfortable or we don't. There are certainly things we won't do, and there always have been, always will be.
Gregory Lewis - Credit Suisse Securities (USA) LLC: Okay, perfect. Hey, thanks for the time, everybody.
David W. Williams - Noble Corp. Plc: You bet, thank you.
Operator: Your next question comes from the line of Rob MacKenzie from IBERIA Capital. Your line is open.
Robert J. MacKenzie - IBERIA Capital Partners LLC: Hi, guys. Thanks. I wanted to change the line of questioning a little bit and go towards the debt side. Can you update us on your thinking about refinancing the 2018 and 2019 notes and what that might look like?
Adam C. Peakes - Noble Corp. Plc: Let me take that one. This is Adam. Look, it's something we think about and monitor conditions all the time, and we want to be opportunistic. We're in the fortunate position today where we have a good cash balance and continue to add cash as we go through the year. And as we look forward, we think we're still going to be in a free cash generating position. So that affords us the opportunity to be careful and find the right time to tap the markets. It's not like we're sitting on our hands with the intention to just deplete that cash balance by paying off the debt when it comes due. We watch all the different alternatives and think through what makes the most sense for Noble. We've previously talked about our preference to stay in the unsecured market, and I think that remains our preference. And recently, the bonds have rallied a bit. And so our philosophy has not changed. We will be opportunistic. We're watching the markets carefully and want to be in a position where if we think the pricing is right, we will move and move quickly.
Robert J. MacKenzie - IBERIA Capital Partners LLC: Okay. So just to clarify, in terms of the 2018 maturity, you would like to restructure that, refinance that, and not pay it off with cash. Is that correct?
Adam C. Peakes - Noble Corp. Plc: No, I think the base case – that's right around the corner from my perspective with 600-plus million dollars of cash. The base case is we will pay that with cash, but cash is fungible. And so between now and then, if there's an opportunity to do a financing and it looks interesting to us, we'll move.
Robert J. MacKenzie - IBERIA Capital Partners LLC: Great, thank you.
Operator: Your next question comes from the line of Kurt Hallead from RBC. Your line is open.
Kurt Hallead - RBC Capital Markets LLC: Hey, good morning.
David W. Williams - Noble Corp. Plc: Good morning, Kurt.
Kurt Hallead - RBC Capital Markets LLC: So, David, are those green shoots of grass getting longer?
David W. Williams - Noble Corp. Plc: I don't think they're getting any longer, there's more of them. So some are long and some are not, but I would say there's more of them.
Kurt Hallead - RBC Capital Markets LLC: All right, great. Now, so how would you characterize – I've heard a number of different comments this week and varying degrees of outlooks. I still think skewing a little bit more to the positive, but I also get a sense that there was maybe a little bit more caution that was creeping into the mindset, based solely on what we heard about rig contracts rolling over and potentially not enough demand to absorb those rigs, and obviously the impact there being felt on a pricing dynamic. So as you went through the market dynamics, how do you feel about the rigs rolling over or the contract opportunities? And how do you feel about the opportunity to make sure Noble secures some of those rigs with the raising cash (49:33)?
David W. Williams - Noble Corp. Plc: I hope you're not talking about us being concerned about our rollovers. We are decidedly positive. I can't speak for anybody else you're talking about, but we are decidedly positive on where we sit today and what our opportunity is going forward. Like I say, we've only got one floater that rolls off contract into next year. And we are highly confident that we will be able to find continuing work for that rig. We have seen – we've witnessed in the market a marked improvement in the number of bid opportunities for classes of rigs that we have. And you kiss enough frogs, you meet a prince. So we were very pleased about our ability to put that Bob Douglas on this job in Guyana with ExxonMobil. We think that's a great first step for us. So that leaves us to the Madden and the Croft next, and we've got multiple opportunities for those rigs in different places in this hemisphere, and then we've got the – and Robert talked about the Boudreaux in the Far East. There are a multitude of opportunities for those rigs as well. So our base of revenue as we sit today, we've got just very close to the same amount of revenue on the backlog that we started the year with. We've been able to replace it as we go through the year. Look at our base revenue this year. Again, with only one rig rolling off contract and a high degree of confidence that we'll replace it, we are decidedly positive. We see more opportunities coming for rigs that are idle. We think that our startup costs on particularly the two ships here are very low, very manageable, and we'll be able to put those rigs to work. In my mind, to handicap the Madden going to work sometime in the next few months to sometime next year I think are very high. And the sooner we get it out, the better opportunity we've got from the Croft. So we've already demonstrated through I think what is the worst part of the cycle on the jackups our ability to get more than our fair share work on jackups. So the Hans Deul is becoming available in an awkward time in the North Sea, in the winter. I wish it was either three months earlier or three months later, but there are some opportunities for it. So I think the odds are very high we'll work it. We've already got the Houston Colbert booked. We think we're very well placed with some of the other rigs. So we are, for the avoidance of doubt, we are decidedly positive on our position going forward. We've been sitting – we've had this revenue backlog that's coming. I look at the backlog stream of some of our peers out there. They've got a good bit in 2018. They've got very little in 2019, and many have almost nothing in 2020. We've got good coverage in 2018, 2019, and some in 2020, and it's just off a very few rigs, so we see good opportunities for ourselves going forward.
Kurt Hallead - RBC Capital Markets LLC: That's great color. And maybe if I can add one in this context, I think everybody is very familiar with the pricing pressures that currently exist in the market and have existed as contracts have rolled in 2017. I think we're very much aware of some of the competitive dynamics that are going to come into play in 2018. As you look at the market dynamics, do you feel like pricing has hit its low based on the current run rate on pricing, not obviously where contracts are going to roll from on a legacy basis, but do you think that pricing has pretty much hit its bottom? Or is there still some bleed lower from current market rates into 2018? What's your best guess on that?
David W. Williams - Noble Corp. Plc: Kurt, I would say that all markets are not created equal, and so there's probably still some pressure in some markets and less pressure in others. But again, I would say that there are more opportunities going forward than there have been of late. Each contractor has got to manage their own portfolio of rigs. So I can't say whether or not we're at the bottom or close to the bottom. I would certainly speculate that if we're not there, we're close. But everybody has got their own set of circumstances and has to manage their own portfolio. From where we sit, again, I'll say that we see good opportunities. We think that we are well placed from a competitive standpoint, and I would say we're much more offensive than defensive at this point going forward.
Kurt Hallead - RBC Capital Markets LLC: All right, thanks so much for that. I appreciate that color.
David W. Williams - Noble Corp. Plc: You bet, thank you.
Operator: Your next question comes from the line of Colin Davies from Bernstein Research. Your line is open.
Colin Davies - Sanford C. Bernstein & Co. LLC: Good morning, thanks very much. Just in terms of the discussion on the future rate projection, the encouraging thing we have seen is perhaps just a few longer-term contracts coming into the market. Can you perhaps just give some discussion as to what kind of escalator-type structures it's possible to get negotiated? And how far out do we start to get some positive signals to inflationary factors, perhaps not next year but in the longer-term contracts the year after and beyond?
David W. Williams - Noble Corp. Plc: I'll try. There aren't very many inflationary adjustments available in today's market just because the market is so short. Most everything is short term. The good news is that I would say there's very little inflationary pressure on the business, quite the contrary. I would say that cost savings and cost reductions compound. It's one of the reasons that I think that we are actually running rigs for less than what the world thinks we are because things we put in place several years ago start to compound – or a year ago start to compound and start to, continue to drive our costs lower. So we will see as the market begins to tighten for the active rigs. And again, we think the active fleet is much smaller than certainly the gross numbers that the world looks at in terms of the total number of rigs out there. I think the active fleet is a much smaller number than the world realizes, and the number of rigs that operators are really willing to work in this environment, crews they see, the capability of different contractors, a much smaller universe than the world recognizes. So it will start driving some opportunities for better contract terms in the future. Exactly when that is, I'm not sure. Right now, it's not so much an issue just because so much of the market is short term.
Colin Davies - Sanford C. Bernstein & Co. LLC: Yeah, that makes sense, interesting. And then just coming at things at another angle, a lot of discussion around the jackup supply base, and you said earlier that a lot of the Asian jackups don't look that appealing. But from your perspective, if you're painting a positive tightening picture of the market, where are you thinking in terms of the current portfolio, adding to that portfolio, asset transactions, M&A? Where is your head on that at this point in the cycle?
David W. Williams - Noble Corp. Plc: Let me just – I'm not meaning to denigrate the rigs in China. That's certainly not – they're good new rigs. I think what I intended to say is they're not of the same specification of our fleet. So we're competing in a different market. There are a couple of CJ70s over there that I think have drawn some attention. And they're nice North Sea rigs, but the rest of those rigs are spec'd below us is what I intended to say. In terms of rig activity or M&A activity or single-asset activity, we worked really hard over the last few years to position ourselves in a higher technical capability environment. And I think that served us well given the amount of backlog that we: A), have had; and, B), have been able to add to. And so we would look for rigs that would add to that position. We certainly don't want to dilute a technical capability that we've already put in place. We certainly are flush on certain classes of rigs right now going forward. So we would be looking for value for rigs that we think that we can deploy in short order. We don't want to accelerate or build the carrying costs or the holding costs. We're looking for rigs that would be essentially what we don't have or what we can deploy in short order.
Colin Davies - Sanford C. Bernstein & Co. LLC: That's great. That's makes a lot of sense. Thanks very much.
Jeffrey L. Chastain - Noble Corp. Plc: Sarah, let's go ahead and thank our final question, please.
Operator: Your last question comes from the line of Lukas Daul from ABG. Your line is open.
Lukas Daul - ABG Sundal Collier Norge ASA: Thank you. Good morning, guys. I was just wondering. If you go through your ultra-deepwater fleet, how many rigs are MPD-capable? And do you think that it's becoming a differentiating factor when you're bidding for new work?
David W. Williams - Noble Corp. Plc: Of our deepwater rigs, I would say most are deepwater-capable. Some are outfitted for it; some are not. But we're building this MPD skid basically, which is a unit we can deploy on just about any of the rigs if it's necessary. So I would certainly hope it becomes a distinguishing factor because we can deploy the skid that we're building on just about any of our deepwater rigs and be able to accommodate MPD operations. So we certainly have some history operating it. It's good technology. We have the luxury of having some of our rigs – a number of our rigs under longer-term contracts. And so with this skid, we can deploy it on any of the rigs that don't currently have contracts and position ourselves to be able to secure these opportunities.
Lukas Daul - ABG Sundal Collier Norge ASA: And do you currently have it on any of your drillships?
Robert W. Eifler - Noble Corp. Plc: Yes, we do.
Lukas Daul - ABG Sundal Collier Norge ASA: All the three?
David W. Williams - Noble Corp. Plc: No, we have it on several rigs. I think two right now is what we're – I'm looking at our operation guys. So we have them deployed on one or two right now.
Lukas Daul - ABG Sundal Collier Norge ASA: Okay, all right. Thank you and have a good weekend.
David W. Williams - Noble Corp. Plc: All right. Thank you. I appreciate it.
Jeffrey L. Chastain - Noble Corp. Plc: Okay. With that, we're going to go ahead and close today's call. We appreciate everyone's interest in Noble. Sarah, thank you very much for coordinating the call today, and everyone have a good weekend. Thank you.
Operator: This concludes today's conference call. You may now disconnect.